Operator: Good afternoon. Thank you for attending today’s FIGS Third Quarter Fiscal 2023 Earnings Conference Call. My name is Cole and I will be the moderator for today’s call. [Operator Instructions] I would now like to pass the conference over to our host, Jean Fontana. Please go ahead.
Jean Fontana: Thank you. Good afternoon and thank you for joining today’s call to discuss FIGS third quarter 2023 results, which we released this afternoon and can be found in our earnings press release and in the stockholder presentation posted to our Investor Relations website at ir.wearfigs.com. Presenting on today’s call are Trina Spear, our Co-Founder and Chief Executive Officer and Daniella Turenshine, our Chief Financial Officer. As a reminder, remarks on this call that do not concern past events are forward-looking statements. These may include predictions, expectations or estimates, including about future financial performance, market opportunity, or business plans. Forward-looking statements involve risks and uncertainties, and actual results could differ materially. These and other risks are discussed in our SEC filings, including in the 10-Q we filed today, which we encourage you to review. Do not place undue reliance on forward-looking statements, which speak only as of today which we undertake no obligation to update. Finally, we will discuss certain non-GAAP metrics and key performance indicators, which we believe are useful supplemental measures for understanding our business. Definitions and reconciliations of these non-GAAP measures to the most comparable GAAP measures are included in the stockholder presentation issued today. Now, I’d like to turn the call over to Trina Spear, Chief Executive Officer of FIGS.
Trina Spear: Thanks, Jean. Good afternoon, everyone. Thank you for joining us for our third quarter 2023 conference call. We were very pleased to have delivered better-than-expected net revenues and adjusted EBITDA margin for the third quarter. I would like to thank our entire FIGS team for their hard work as well as their devotion to our healthcare community. Touching on some highlights from the quarter. Net revenues grew 11% compared to the prior year period, driven primarily by nearly 20% growth in active customers with another record number of new customers added in the third quarter. Beyond the market share gains we are driving in the United States, we are building demand internationally with record growth of 81%. We are replicating the powerful word of mouth dynamics that we fueled in the U.S. over the last decade. Within teams, our B2B business, we saw strong performance with a growing number of institutions coming to FIGS to professionalize their organization. We also continue to make meaningful progress in normalizing inventory levels, which declined 15% compared to the third quarter of last year. Looking at profitability, we delivered an adjusted EBITDA margin of 17.2% ahead of our expectations and generated free cash flow of $46 million for the third quarter. Our third quarter performance underscores our ability to deliver on our objectives and as a result, we are raising our full year net revenue and adjusted EBITDA margin guidance, which Daniella will speak to shortly. Turning to our business highlights. As we execute our strategic priorities, we remain committed to our mission of serving those who serve others. Everything we do is centered around the healthcare community, from the product innovation we bring to bear, to our compelling marketing campaigns to an inspiring ambassadors we partner with, to our work around advocacy. Product innovation for FIGS is above all about solving the real world problems for the healthcare community with premium product that offers supreme functionality, comfort and style. Our customer first approach to product attracts new healthcare professionals to our brand and drives loyalty amongst our existing customers, demonstrated by the fact that repeat customers continue to generate roughly 70% of our net revenues. Our merchandizing strategy is to build a product assortment that not only stands alone but can be match backed to our core scrubs offering to create a complete layering system. We leverage customer insights to bring new product across our categories. These are limited edition styles that create a flywheel effect that drives both excitement and traffic, whereby customers buy these new styles in addition to replenishing their core. During the third quarter, for example, we introduced our Natal Scrub Tops and Lesage Scrub Jogger with a feminine twist while maintaining maximum movement and utility. We also launched our first wide leg pant, the high-waisted Yendi Cargo Scrub Pant. The success of these limited-edition style drops matched back with our core scrub styles and reflects our ability to deliver a consistent stream of newness that our customers want. Another area of strength is in collaboration. We seek partnerships with brands that are leaders in their industries, have similar values to FIGS and complement our own core capabilities. We have talked in the past about our New Balance partnership, where we continue to see tremendous growth in footwear intentionally designed for healthcare professionals. Most recently, we collaborated with Eko, a leading digital health company that is advancing how healthcare professionals detect and monitor heart and lung disease. We launched the co-branded CORE 500 digital stethoscope that was supported by our campaign, innovation you can hear, which exemplified how we create powerful storytelling that captures the attention of our community. Turning to building and deepening engagement with our community, our marketing strategy reflects a combination of engaging campaigns with creative storytelling, segmentation strategies that align our content to our channels, to our audience, and personalized messaging based on our deep understanding of our customers. The efficiency of our marketing engine enables us to reinvest dollars into top-of-funnel strategies, which help to drive another record number of new customers in the third quarter. As part of our new customer acquisition efforts, we are engaging students who have long purchased cycles as they are just entering their 30 plus year career. We are creating local on-campus experiences with customized products for each school with colors and embroidery. We are also leveraging the team’s platform in order to become the exclusive provider to universities and associations. These efforts led to a new partnership with Veterinary Business Management Association, a student organization spanning 38 universities. We also maintain a strong connection with our community by delivering campaigns that highlight awesome humans, new technical innovation and cultural moments that drive heightened excitement and a call to action. For Breast Cancer Awareness Month, we teamed up with F cancer on a mission to prevent, detect, and unite. We donated $50,000 to this organization to advance health equity through education, community clinics, and screening. Some of our greatest moments with the healthcare community come through our advocacy beyond the products we deliver. The way we utilize our platform to stand up for their rights and their well-being without hesitation is what generates such intense loyalty to our brand. This quarter, during the largest strike of healthcare workers in U.S. history, we spoke out in support of higher pay, safe working conditions, and sustainable patient loads. All core tenets of our Awesome Humans Bill. Our Instagram post generated some of our highest engagement over the past year, and letters to Congress sent through our Advocacy Hub spiked. To date, our community has sent almost 3,000 letters to Congress through our Advocacy Hub. Looking at our performance outside the U.S., we are thrilled to see the growing affinity for the FIGS brand across continents. International delivered record net revenue growth of 81%, reflective of strong performance across countries including our longest-standing markets Canada, UK, and Australia. We added seven new countries including Poland, Kuwait, and Singapore during the quarter. And similar to the – to Mexico and the Philippines, our entrants into these new regions arose from strong grassroots demand, signaling the growing recognition of FIGS worldwide. Turning to our B2B business. Teams delivered exceptional net revenue growth year-over-year with orders from best-in-class healthcare organizations, such as the American Student Dental Association, Aya Healthcare, and Veterinary Emergency Group, VEG, a fast-growing emergency care organization with over 60 locations. Inbound demand is growing as more institutions are looking to FIGS to help them professionalize their staff with premium uniforms. FIGS is best positioned to support these institutions with a best-in-class technology platform and products that help their professionals look good, feel good, and perform at their best. Turning to retail. I am super excited to share that we will officially be opening our first permanent retail store, which we refer to as a community hub on November 3rd, which is tomorrow, in Century City Mall. We are incredibly proud of this achievement, not only because this is our first branded permanent retail location, it’s really the first of its kind, a space that was created and is purely dedicated to healthcare professionals. In addition to enabling healthcare professionals to feel, try on, and become educated about our products, our community hubs will serve healthcare professionals through purposeful programming and events on topics that they really care about. In closing, while we are proud of what we have accomplished to date, we have so much untapped potential, which I will speak to following Daniella’s review of our financial results.
Daniella Turenshine: Thanks, Trina, and good afternoon, everyone. I will begin my discussion with a review of our third quarter financial performance followed by our revised 2023 outlook. Overall, we are pleased to have exceeded our net revenues and adjusted EBITDA guidance and to be once again raising our full year guidance. We did this while making significant progress toward our strategic priorities, normalizing inventory, and generating strong free cash flow. For the third quarter, net revenues grew 10.7% to $142.4 million, compared to $128.6 million in Q3 last year, primarily due to an increase in orders from existing and new customers, as well as higher AOV. We were pleased to deliver a 19.6% increase in active customers, fueled by ongoing initiatives to drive brand awareness globally and strong reactivation rates among lapsed customers. As Trina stated, we reached another third quarter record in new customers. AOV increased nearly 2% versus last year’s Q3, led by higher units per transaction, or UPT, and to a lesser degree, by an increase in average unit retail, or AUR. AOV continues to benefit from the product mix shift, driven largely by the strength in footwear and outerwear. This was partially offset by a higher mix of sales occurring during our planned sample sale in September. Gross margin for Q3 was 68.4%, compared to 70.6% in Q3 2022. The 220-basis-point decline compared to Q3 last year was primarily due to product mix shift. We saw strong growth in non-scrub wear categories including footwear, as well as in certain limited-edition styles. Non-scrub wear grew 26.4% to 19.3% of net revenues in the third quarter versus 16.9% in the same period last year. To a lesser degree, gross margin was impacted by a higher mix of promotions, as well as higher duties. This was partially offset by lower airfreight utilization and better freight costs. Moving to operating expenses. Selling expense for Q3 was $32.2 million, representing 22.6% of net revenues, compared to 24.8% in Q3 2022. The 220-basis-point decline was a result of lower fulfillment expenses as we lost elevated storage costs last year and, to a lesser extent, leverage within shipping expense due to higher AOV. This was partially offset by higher duties related to the increased mix of international sales and a higher mix of promotional sales. Marketing expense for Q3 was $19 million, representing 13.4% of net revenues, compared to 15.6% in Q3 2022, reflecting digital marketing efficiencies. We continue to flex our marketing spend to optimize our return and maintain a disciplined approach to balancing investments and top-of-funnel marketing and maintaining first order profitability. G&A expense for Q3 was $36.2 million, representing 25.5% of net revenues compared to 21.5% in Q3 2022. The increase in G&A as a percentage of sales was due to higher investment in people including salaries, bonus, payroll tax, and stock-based compensation expense partially offset by lower professional fees. In addition, as you may recall, last year, we saw a 190 basis point benefit due to a change in our accrual methodology for charitable donations. Taking this to the bottom line. Our net income was $6.1 million or $0.03 in diluted EPS for the quarter. This compares to net income of $4 million and diluted EPS of $0.02 per share in Q3 2022. Adjusted net income was $6.3 million and diluted EPS as adjusted was $0.03 in Q3 2023 as compared to adjusted net income of $4.1 million and diluted EPS of $0.02 in Q3 2022. Finally, our adjusted EBITDA for Q3 was $24.4 million for an adjusted EBITDA margin of $17.2% compared to 16.4% in Q3 2022. Turning to our balance sheet, we finished the quarter with cash, cash equivalents, and short-term investments of $232 million. Inventory declined 15% to $143 million at the end of the third quarter compared to $168 million in the third quarter last year. We made significant progress moving toward more normalized levels and expect inventory to decline again in Q4. Lastly, free cash flow was $46 million in the quarter. Moving to our outlook, starting with the top line. We expect fourth quarter net revenue growth to be up low single digits, reflecting ongoing macro uncertainty and recognizing that there may have been some pull forward of demand, given the outperformance of the third quarter. We expect the macro environment to continue to weigh on the consumer at least into the first half of next year. Moving to gross margin for the fourth quarter, we expect better freight costing to be offset by a shift in product and promotional mix. Looking at selling expense. We expect to incur approximately $2 million in initial start-up costs for our fulfillment enhancement project. These elevated costs are expected to extend into the first three quarters of 2024. In addition, we expect selling expense to be impacted by higher relative growth in our international business, which carries both duties, as well as higher shipping expense given that we currently distribute all products from our California facility. As a result of these factors, we expect fourth quarter adjusted EBITDA margin of between 11% and 12%. Based on our better-than-expected third quarter performance and outlook for Q4, we now expect 2023 net revenue growth of approximately 8.5% and adjusted EBITDA of approximately 14%. This is up from our previous expectation of 5.5% to 7.5% net revenues growth, and 12.5% to 13.5% adjusted EBITDA margin. Overall, we are really proud of what we have delivered in this uncertain macro environment, and we remain excited about the long-term growth potential of our business as we continue to advance our leadership position within the healthcare apparel industry. We have an incredibly healthy balance sheet with ample cash and no debt, and our business model generates strong cash flow. We are making the investments today that we believe will drive accelerated future performance as we move past near-term macro challenges. I will turn it back to Trina to discuss where we are investing in our business for the long-term.
Trina Spear: Thanks, Daniella. We believe that the growth and the evolution of the healthcare industry combined with our leadership position in healthcare apparel and strong balance sheet creates significant, long-term opportunity for FIGS. As Daniella stated, we will leverage our strong cash flow conversion dynamics and scale to lay the groundwork for multiyear growth. These investments span across several areas of our business. I’ll begin with product, the lifeblood of FIGS. We are evolving our sourcing strategy to deliver the most innovative and high-quality products healthcare professionals have ever experienced. We are refining our supplier base with best-in-class partners. We are working to optimize lead times to bring more flexibility to our supply chain. And finally, we are diversifying geographically to mitigate risk. We are confident that this is the right direction for our company as we widen the moat around our business and advance our leadership position. Second, we will continue to invest in driving international growth to become the global leader in healthcare apparel. We are building our localization capabilities, expanding our ambassador network, and deploying brand initiatives in existing and in new markets. Third, we are building our go-to-market strategy for our teams business to capture the growing trend in more specialized and consumerized medicine. We see a huge opportunity to capture share in an area of the healthcare industry where innovation is lacking. To capture this opportunity, we are upgrading the technology behind our team’s platform to create a seamless experience for administrators, saving them time and resources when procuring the uniforms of their staff. Their staffs need to do their jobs. The next generation of this platform is on track, and we’ll launch later this year. Finally, we are just one community hub in on our retail strategy. We are going to learn from our early experience and ensure we have the right talent in place to successfully and profitably build out our retail presence. As we build for the future, we are setting the foundation for a global distribution network. Our fulfillment enhancement project is on track for 2024, and we plan to open a Canadian DC in 2025. In conclusion, we see tremendous opportunity to leverage our authenticity, industry leading product innovation, strong balance sheet, and scale to capitalize on the tailwinds in the growing healthcare industry. Healthcare professionals are at the heart of everything we do and serving them is what guides our company from how we approach product innovation, how we engage with our community, and how we show up through our advocacy. These are the values that will keep our company on track to serve healthcare professionals like no other brand and to deliver long-term profitable growth for our community, our employees, and our shareholders. With that, I will turn it over to the operator to take your questions.
Operator: Thank you. We will now begin the Q&A session. [Operator instructions] Our first question is from Edward Yruma with Piper Sandler. Your line is now open.
Ed Yruma: Hi, good afternoon. Thanks for taking the question. Congrats on the results. I guess, first, I would love to click down a little bit more on the driver of gross margin. I know you talked a little bit about mix shift to non-scrub. We’d like to maybe go a little further there. Can you talk about the performance of some of your newer products like the under-under scrubs, lab coats, things that are more evergreen in the assortment versus something like footwear? And then as a follow-up, we’ve gotten a lot of questions on the distribution center investment cadence. So, if you wouldn’t just mind maybe giving us a quick update on how we should think about that over the coming quarters. Thank you.
Daniella Turenshine: Sure, I can start talking about the drivers of gross margin. So, the biggest driver year-over-year was product mix shift both into non-scrub wear as we saw big acceleration in footwear but also into our limited-edition scrub wear. To a smaller extent, it was mix shift, promotional mix. We did see some outperformance in our sample sale and also higher duties and again that was offset by better than expected by better freight both ocean and air freight.
Trina Spear: And in terms of product innovation, we continue to see our layering system resonate with our community. And so, we saw that with our underwear, which we launched in the quarter with our outerwear. Our Sherpas are doing really well, our footwear collaboration with New Balance and so, non-scrubs as a percent of total is almost 20% of our business. And as we continue to build out these categories, we’ll get leverage from a costing perspective, but, they need to grow – build out and that’s what we’re really focused on. And you see – we talked a little bit about how these scrubs, whether it’s within scrubs or outside of scrubs, across our under scrubs, across our outerwear and our footwear, how we’re able to match that back to the core. And really, we’re seeing our healthcare professionals engage with these new styles, as well as the core and kind of replenishing our core. And those two things are working really well together.
Daniella Turenshine: And on your last question on investments for our fulfillment enhancement project, so we’re expecting about $2 million of start-up costs in the fourth quarter. Looking into 2024, we’re still expecting total project costs to be $16 million to $18 million. So, $14 million to $16 million of that taking place in 2024 as a result of that, we are expecting some pressure in selling as a result of this fulfillment enhancement initiative, but do believe that it’s going to enable us to drive better efficiency, better reliability, a better customer experience over the long-term and we are still expecting about $20 million of capital expenses in 2023 with the majority of that taking place in the fourth quarter.
Ed Yruma: Thanks so much.
Operator: Our next question is from Brooke Roach with Goldman. Your line is now open.
Brooke Roach: Good afternoon and thank you for taking our question. Trina, I was hoping you could elaborate on any changes or trends you’re seeing and consumer behavior that you’ve seen as you move through the third quarter and into fourth quarter to date. Have you seen any changes in price elasticity of demand or any trends or changes in how consumers are engaging with the brand as student loan repayments resume and as we see some changes in the macro in aggregate?
Trina Spear: Thanks, Brooke. Yes, I think we’re seeing kind of two dynamics going on. The first one is there was a lot of stocking up during the pandemic and there was obviously a heightened need for scrubs during that time. There was stimulus. Interest rates were super low and, we are experiencing the hangover effect of that. And we see that mainly in our frequency rates. And so, we do believe that we, at this point, have abnormally low repeat frequency. And we believe we will see that normalize over time, and we will see going into next year and beyond what a more normalized cadence will look like from our healthcare professionals. But as you know, healthcare professionals, they are buying about, pre-pandemic 4 to 6 sets a year. They are spending about $550 a year. And so, with us, they are buying more like 2 to 3 sets a year and spending about $212. So, this is a huge opportunity going forward. The second piece that we think is happening is the macro environment, there is still a lot of uncertainty. And as you mentioned with student loans and other dynamics, that we think will be a short-term headwind, but we do believe we’re able to offset some of this repeat frequency with new customer ads and you’ve seen that in the last quarter.
Brooke Roach: Very clear, thank you so much for that. Daniella, can you comment on inventory rationalization? Are you still targeting 25 weeks of supply by the end of the year? And how should we be thinking about further cadence of inventory drawdown over the next few quarters?
Daniella Turenshine: So, we’re still on track to deliver approximately 25 weeks of supply at year-end. As a reminder, this is slightly above our normalized level of 16 to 20 weeks, which we expect to be able to get back to in 2024. Important to note, still about 50% of our inventory is in core styles and classic colors, so sell all year round. Never goes out of stock, never goes out of style. And as you saw, we made progress in the second quarter and the third quarter on moving inventory receipts lower. And we’re going to expect to make further progress there in the fourth quarter with minimal planned receipts. And I think we continue to be really focused on maintaining the integrity of our brand with a really disciplined promotional strategy with so much growth ahead of us. And we’re going to continue to work through our inventory at the right rate and pace for our business. Looking into 2024, when we’re back at that kind of 16 to 20 weeks of supply, we would expect to grow inventory in line with sales going forward.
Brooke Roach: Thank you so much. I’ll pass it on.
Operator: Our next question is from Dana Telsey with Telsey Advisory Group. Your line is now open.
Dana Telsey: Hi, everyone. Congratulations and nice to see the progress. Trina, you mentioned the sourcing diversification opportunity. What are you doing exactly, where are you going, and what do you see as the opportunity and lead times, as I would think that could also be a gross margin driver? And then just secondly on the more efficient marketing spend in digital marketing, how do you planning marketing going forward? Thank you.
Trina Spear: Thanks, Dana. Okay. So, from a sourcing strategy perspective, we’re developing new supplier relationships and really leveraging their capabilities to help us continuously up our game and continuously execute on new ideas. And that comes in the form of fabrication styles, details that our healthcare professionals need to do their jobs. And it really comes from the lens of bringing product that solves problems for people. And so, that’s where we’re focused. And to your point about lead times, we do believe the optimization of lead times will help us. It’s going to create a lot more flexibility, being able to deliver and respond to what we’re seeing with our community and what they want and what they need and deliver that in a more timely – in a more timely way. So, we’re excited about that as well. And we’re also aligning with sourcing partners across geographies, from Asia to the Middle East to LatAm. And yes to diversify and get better lead times for sure, but also to access the best-in-class manufacturing talent and to mitigate risk through geographic diversity. And so, we’re really excited about the shifts that we’re making. Our ethos around gross margin is unchanged. And so, as this strategy unfolds, we’re going to be focused on leveraging our high-margin core to drive more innovation, while maintaining an extremely strong margin rate. As relates to marketing, we’re continuing to execute on our strategy of driving bottom-of-the funnel tax gains and taking those gains and investing in top of the funnel. And so as we reach tipping points in cities across the U.S. And now in some of our international markets as well, we see word of mouth driving our tax down. And so, we have to take those gains and invest in top of the funnel, driving brand awareness, driving more healthcare professionals into the family. And so, that’s why, our – we’re able to maintain our efficiency and you’re seeing that quarter after quarter.
Dana Telsey: Thank you.
Operator: Our next question is from John Kernan with TD Cowen. Your line is now open.
John Kernan: Good afternoon. Thanks for taking my question. How should we think about the long-term margin structure of the business? Gross margin has been very stable in a fairly volatile macro. I guess when we think about G&A and selling expenses, what are the opportunities long-term to see some leverage on these line items? It sounds like selling has some – has some expenses coming on for next year for distribution. I’m just curious, how do we think about both those expense line items going forward. Thank you.
Daniella Turenshine: Thanks, John. So, we continue to believe that we will get to a high teens adjusted EBITDA margin. I think it’s helpful to think about kind of the different components of what needs to happen. You spoke to our really strong gross margin rate. I think we’re going to continue to deliver that very strong gross margin. Trina spoke about evolving our supply chain to drive greater innovation and quality. We’re also expanding our layering system. And so, both of these items, we might see some short-term fluctuations, but really we’re positioning the business for the longer-term. And we have a lot of confidence that these changes that we’re making are really going to enable us to be better positioned three to five years from now and also gain a lot of efficiency over time as we scale. Particularly to selling, so, we do expect 2024 to be burdened with fulfillment project costs, but we are expecting to move past that in 2025. In the near-term, we may see a higher cost per order as we invest behind customer experience, but we’re going to plan to leverage that as we scale. In addition, in selling we do expect to see a higher penetration of international which does carry duties and higher shipping costs and that’s going to have a short-term impact on selling expense. But once we open a Canadian DC in 2025, we should be able to drive significant cost savings related to duty and shipping expenses. And over time, we believe we can leverage G&A and continue to remain really efficient in our marketing as we always have been. I think just taking a step back, right, we have a strong balance sheet, strong cash flow generation to really invest in our future growth now. And so, we really want to take advantage of our leadership position to capture the opportunities across global healthcare.
John Kernan: Understood, and thanks for the very thorough answer. Just maybe one quick follow-up on the previous thing, it was Brooke’s question on inventory. Do you expect inventory to grow in line with sales next year or should we still be cycling down year over year in inventory?
Daniella Turenshine: I think in the first half, we will still be working to get to that 16 to 20 weeks of supply. Looking into the back half of 2024 is when we would expect to see inventory grow more in line with sales once we’re in that normalized place.
John Kernan: Got it. Thank you.
Operator: Our next question is from Alice Xiao with Bank of America. Your line is now open.
Alice Xiao: Hi, thank you for taking my question. I’m hoping to get more detail about teams and international since those are the two areas driving your new customer acquisition. How big is each as a percent of sales now? What are the long-term impacts to AOV as both of these categories grow, i.e., does teams provide an AOV benefit given the bulk orders? And then does international AOV tend to be higher or lower than domestic? And then lastly, to summarize all that if you could touch upon the contribution margins for both of these categories as well? Thank you.
Daniella Turenshine: So looking at our teams and international businesses. So, speaking to the AOV that we see in each of those, teams does carry a higher AOV as these are generally larger orders. It also has a higher contribution margin, so gross margin is pretty similar. We do see some offset in higher discounts for these bulk orders, but generally they are buying more of our core product, which helps to keep gross margin relatively stable. And then we get a lot of benefits below gross margin looking at efficiencies in outbound shipping. And also today, it’s entirely inbound, so no marketing expense. So, teams really accretive from a contribution margin standpoint. International today carries a slightly lower AOV, but we see a lot of opportunity to drive that higher over time. From a contribution margin perspective today, we’re really focused on keeping the experience similar for our international customers. And so, to do that, we’re subsidizing a lot of the shipping and duty expenses as we sell from our – our distribution center in California. From a marketing perspective, as Trina mentioned, we’re really efficient. And so, as we expand our distribution network, as we open a Canadian DC in 2025, like we spoke to, we see a lot of opportunity to drive better profitability in international over the long-term because of the strong fundamentals that we have today.
Alice Xiao: Thank you.
Operator: Our next question is from Adrienne Yih with Barclays. Your line is now open.
Adrienne Yih: Great, thank you. Good afternoon. My one question – my first question is on the community hub that you released this afternoon. Trina, can you talk about the store, if you have any metrics at all? And I know it’s kind of the first store, but really kind of the intention behind it. Is it intended to be more of a showroom environment or is it a kind of fully stand-alone box with depth and breadth of inventory? And then my second question for Daniella is on the supply chain. It sounds like you’re sort of back to normal supply, but it doesn’t sound like there is a ton of inbound manufacturing. When would you think that the kind of – when would you restart up kind of manufacturing? And how much of the new product that you would be kind of manufacturing is going to be new versus core? Thank you.
Trina Spear: Thank you. So, in terms of the store or community hub, we couldn’t be more excited about it. It’s the first solely branded healthcare apparel store in the world, which is crazy to say because this was a dream that we had about 11 years ago. And since then, there is really been no place for healthcare professionals to go and not only get their uniforms so they can do their job, but also connect with each other. And we’re really excited about that, providing that. And so, that’s why we’re so excited about the programing we’re going to have and the way in which we’re going to engage with our community. I think our communities can be able to learn more about our products. They are going to be able to try it on, really understand their size and all the different styles or different fabrications. And this is – I mean, we couldn’t be more excited. I think the largest, most iconic brands have stores, and our plan is to be a very large, very iconic brand for a long, long time. It’s not a showroom, so we carry inventory and so you can get what you need and you can leave the store with the uniform that you need. You might have to go to work the next day and you want to wear your new things, and we want to provide that opportunity. And so, we’re officially opening tomorrow. So, we will be providing you with all the detail in the future. But if you are in LA, please come by.
Adrienne Yih: Well, congrats on that.
Trina Spear: Thank you.
Daniella Turenshine: On your question on inventory, so we are really proud to be working down our inventory balance while sustaining such a strong gross margin rate. We have work to bring inventory down by lowering receipts in the fourth quarter, but I think it’s important to note that we are still bringing in new products just in shallower buys. It’s not going to feel very different to our customers, and it’s still going to enable us to drive excitement and engagement. We are going to continue to play on lower core orders to bring our inventory balance down while still bringing newness and innovation going into 2024.
Adrienne Yih: Great. Thank you very much. Best of luck.
Daniella Turenshine: Thank you.
Operator: Our next question is from Rick Patel with Raymond James. Your line is now open.
Rick Patel: Thank you. Good afternoon. I am hoping you could dig deeper into the international business. So, you have launched in a lot of new markets within the past couple of years. What have you learned about what works, what doesn’t? And then as we think about the next year, do you have more countries in the pipeline that you expect to launch in or are you going to focus more on your existing markets?
Trina Spear: Thanks Rick. Okay. So, I think from an international perspective, what we have learned is that our localization strategies are really working. When we are localizing our messaging, our communications, even our products and what we are showing on our site at any given time, obviously, our currency, being able to check out and pay in local currency is really important. So, localization is really going well. I think the other thing that is working well is how we are being opportunistic, right. We are seeing the demand organically from a number of countries, and we are opening them up and we are not even really spending on marketing. And we are seeing that demand and we are seeing that build in markets that maybe we weren’t even planning over a year or so ago to open that market. And that’s been really exciting. So – and I think the other thing that’s been really great to see is the word-of-mouth dynamics. They are very similar to what we have seen in the United States, that we are seeing different markets in these tipping points around how people are coming back and engaging with the brand over time, how referrals and people are telling their friends, their colleagues about FIGS. And that’s been really great to see. And so, going into next year and beyond, I think we are going to continue to be opportunistic. We are obviously going to invest in our existing markets and ensure that we continue to build the brand. And as we see the brand awareness grow, we are going to continue to invest behind that. But we are also going to be opportunistic as we open up new markets next year.
Rick Patel: Can you also touch on the outlook for promotional events in the fourth quarter? I am curious if you expect a similar cadence to last year or if you have different activations in mind?
Daniella Turenshine: So, our guidance assumes that we continue to maintain discipline around our promotional events. As you know, we don’t typically do kind of like-for-like events every quarter. And we think that’s really important to ensure that our customer isn’t waiting for the next event. And we also just have more flexibility as a B2C-only company to be really nimble in our strategies and adjust based on our inventory position, based on the volume, based on what we are seeing in the customer kind of spend. So, we are always going to focus first and foremost on protecting our brand, but we also recognize that customers have been leaning into promotions during this difficult time. So, we are going to plan to respond accordingly depending on the environment.
Rick Patel: Thanks very much.
Operator: Our next question is from Bob Drbul with Guggenheim. Your line is now open.
Unidentified Analyst: Hi, good evening. This is Erinn Murphy [ph] for Bob Drbul. I wanted to follow-up on Adrienne’s question about the community hubs. Can you quantify any meaningful digital halo effects or any uptick in the area that you are implying, because I am pretty sure the area is very heavy on healthcare community, so I just wanted to understand what was behind the location? And also, I wanted to ask about the competition. Any updates on the competitive environment, the promotions driven by new players or promotions solely by macro? Thank you.
Trina Spear: Sure. So, as it relates to our community hub in Century City, it’s really central, it’s central to healthcare clinics that are actually located in Century City Mall like One Medical, like Kindbody and others. And there is also a number of hospitals within a few miles of from Century City Mall. So, we did a lot of analysis around. And as you know, as a B2C company, we have so much data around our customers and where they live and where they work. And so, utilizing that to figure out where to put our community hub, and that will be our strategy going forward to – that will help us decide where to go next and where to put our store. So – and to your point, I think the digital halo is really important. Stores in many ways are profitable billboards, and they are able to drive our digital business as well. You try on your uniform in the store, you figure out your size, and then you can kind of shop the next time online after understanding that. And so there is a lot of benefits. Other retailers have seen AOVs much higher than what they see online. There is also a lot of different metrics out there around other retailers and what they see as it relates to omnichannel, I mean how the repeat effect of having an omnichannel business across both online and offline. So, we look to see that over time as well. As it relates to the competitive landscape, we really haven’t seen much change since we talked about this last time. From our perspective, we are adding new customers at a record rate. We are continuing to widen the moat between us and everybody else. The next closest competitor continues to be about one-tenth our size. And how are we widening the moat. We are doing it with new product innovation, elevated quality. We are engaging our customers. We are advocating for them. And so, we do remain the leader in the space and we are going to continue to invest in widening the moat between us and everybody else. And during this – given this environment, I think a lot of companies are pulling back, and they are standing still. And what we are doing is given we have $232 million of cash, we have no debt, we are generating cash, we are making investments, really smart investments. So, that over time we are widening that moat between us and everybody else and continuing to show up in the most authentic – in the most meaningful way and purpose-driven way for our community.
Unidentified Analyst: Awesome. Thank you. Good luck.
Daniella Turenshine: Thank you.
Operator: Our next question is from Matt Koranda with ROTH MKM. Your line is now open.
Matt Koranda: Hey, everybody. Thanks for taking the questions. Just on the new customer ads in the quarter, just any specific breakdown of how many came from the international versus sort of the core domestic market. And then on the new cohorts that you have been acquiring, any notable differences there versus your core consumer just in terms of product mix, full price versus off price, propensity AOVs, etcetera?
Daniella Turenshine: So, looking at our new customer ads, international, we are really pleased with the growth that we saw in the quarter. But it’s also great to see that domestic is continuing to add more new customers year-over-year. And I think that really just speaks to the opportunity that we have within the U.S. to continue to penetrate and grow our brand awareness. So, we continue to see a healthy mix between the two. We are not seeing a lot of difference in the new customers that we are adding today. We are seeing similar occupations. Obviously, we have spoken about some of what we have seen on the spending patterns in terms of higher AOV, offset by lower frequency. We are seeing that across the board on our new customers and our repeat. Otherwise, yes, they look pretty similar to the customers that we have been acquiring.
Matt Koranda: Okay. Great. And then just on the store strategy, I think it’s been asked in different ways, but I just wanted to put a finer point on the question. Are stores in your view at this point a growth driver with sort of four-wall ROI metrics that you would expect to sort of achieve, or are these kind of more of a brand beacon? How should we be thinking about sort of the store strategy? And I know, obviously, with the understanding that it’s early, just given that we had the first one, but just wanted to ask specifically on that.
Trina Spear: Yes. I mean community hubs retail is definitely a growth driver with four-wall EBITDA profitability. But it will also be a brand identifier. We look to be an institution within cities across the United States. And I also think that what we are doing in person with our community is going to unlock a lot of what we are doing digitally. And I think there is a lot of synergies between what we are doing within our community hubs and that’s why we are calling them community hubs. And it’s not just about that transaction, it’s about much more, it’s about that connection. It’s about having events and programming that aligns with what our community cares about. And that alignment, in that, we have this diehard fanatical community. And every time we show up in person, whether it’s our pop-up shop, whether it’s our activations, whether it’s our mobile experiences, they want more of us. They are in five-hour lines waiting for FIGS. And so this is only going to continue to drive the business and not just what we are doing with our community hubs. It’s also going to drive teams as teams are going to walk in that door and say, hey, how do I get FIGS for my team. It’s going to drive what we do with digital. And then you shop online, you return in the store, etcetera. There is a lot of dynamics there that are going to be really beneficial over time. And so we are really excited to see how we continue to roll this out and we are really excited to see how our community continues to engage with us in person.
Operator: Our next question is from Brian Nagel with Oppenheimer. Your line is now open.
William Dossett: Hi. This is William Dossett on for Brian Nagel. Good afternoon and nice quarter.
Trina Spear: Thank you.
William Dossett: So, excuse me for going back to the quarter, but just to ask you about near-term sales guidance and understand this better. You indicated there may have been a pull forward in Q3. Could you elaborate on what you may have seen that caused that and to what degree this may have affected the quarter? And also any idea that you could give us on how demand tracked throughout the quarter.
Daniella Turenshine: So, related to kind of the third quarter and what we saw with the outperformance, so as we discussed our planned sample sale outperformed our expectations. We do believe there was potentially some pull forward associated with that, but we are really proud to pass through the majority of the beat and raise full year guidance for the second time this year in a really uncertain macro environment. Can you repeat your second question?
William Dossett: Just – yes, well, thank you for the first part. And yes, just any idea for how the demand tracked throughout the quarter?
Daniella Turenshine: Yes. Thank you. So, looking at the fourth quarter I think it’s what you are asking. And I think the Q4 guidance is not necessarily reflective of what we are seeing for our growth rate quarter to-date. It’s really more of an expectation of what we expect to see in the quarter for aggregate. As a reminder, we don’t do like-for-like events. We change our launch calendar. So, it’s hard to extrapolate kind of what’s happening in our quarter to the full period. I also think just given we have a lot of volume in front of us with our upcoming Black Friday, Cyber Monday events, we just want to be cognizant as we are guiding that there is a lot left in the period and that our consumer, especially at our income level, can be strained. And so, we are taking all of that into account in addition to the pull-forward potential that we discussed when thinking about our Q4 outlook.
William Dossett: Perfect. Yes, that’s very helpful. My next question was on gross margin – is a follow-up to a previous question on gross margins. Just the product mix shift, how did it change since you last laid out expectations in August? Is this just a temporary or more sustainable shift? And then looking to Q4 just, you all noted that better freight would be offset by a shift in product mix and promotional mix. So, just wondering if you could size the quantity of those impacts to gross margins at least directionally?
Daniella Turenshine: So, looking at our gross margin for the third quarter, we did cite product mix shift as the biggest impact year-over-year, mostly driven by mix shift into non-scrubwear. We spoke about the strong performance in both outerwear and footwear, which are categories that generally contain a lower gross margin rate and also mix shift into more of our limited-edition scrubwear. That was really within our expectations from August. I would say what did was a little different from what we expected was some of the outperformance of the sample sale, which had a bit of an impact on gross margins. I think related to that, we are really focused on how we continue to move through our inventory while simultaneously protecting the brand. It was all non-core products. And we are going to continue to move through inventory at the right rate and pace and deliver a really strong gross margin rate. Looking at the fourth quarter, similar to dynamics, we are expecting to what we saw in the third quarter with product mix as we continue to shift into more non-scrubwear and also our limited-edition scrubwear offset by better freight and promotional mix. Product mix will be the biggest impact followed by promotional mix.
William Dossett: Thank you. And then one last housekeeping item if I may, just could you discuss how to look at share-based compensation within your expense structure longer term if there is any changes?
Daniella Turenshine: Definitely, so within our stock-based compensation today, we have some portion of it that’s really non-recurring. And so, looking longer term, a portion of our executive stock-based compensation is going to roll off at the end of 2024. And then we will have another portion roll off at the end of 2025. So, we will start to see a more normalized stock-based comp as a percentage of sales by Q4 2025, which we expect to be about half of our current rate as a percent of sales.
William Dossett: Thank you very much. Good luck.
Daniella Turenshine: Thank you.
Operator: There are no further questions in the queue at this time, so I will pass the conference back to the management team for any closing remarks.
Trina Spear: Thank you so much for joining us and we look forward to seeing you again soon.
Operator: That concludes today’s conference call. Thank you for your participation. You may now disconnect your line.